Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Nu Skin Earnings Conference Call. My name is Angela and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.
 And now, I would now like to turn the conference over to your host for today, Mr. Scott Pond, Director of Investor Relations. Please proceed, sir. 
Scott Pond: Good morning, everyone, we appreciate you joining us on today’s call. With us in the room are Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dan Chard, President of Global Sales and Operations and Joe Chang, Chief Scientific Officer.
 Just a reminder during this call, comments may be made that include forward looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today’s earnings release and our SEC filings for a complete discussion of these risks.
 Also during this call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP financial numbers assist management and investors in evaluating and comparing period to period results in a more meaningful and consistent manner.
 With that, I will now turn the time over to Truman. 
Truman Hunt: Thanks, Scott and good morning everyone. We appreciate you joining with us today as always. And we’re also very pleased to announce today another record quarter and a record year. Thanks to a well-executed product launch and strong business momentum in numerous markets we were able to exceed both our top line, and our earnings guidance for the fourth quarter, as well as for the full year.
 As our press release indicates, we posted quarterly revenue of $495 million which is a 23% improvement over the prior year. Our earnings also jumped 31% to $0.76 per share and based on strong fourth quarter results and given early indicators in January, we’re increasing our 2012 guidance. I’ll have Ritch provide the details on guidance in just a moment.
 Our strong fourth quarter helped us post record revenue of $1.74 billion for the full year, which is a solid 13% improvement over 2010. Local currency growth for the year was about 8%. Earnings for the full year were $2.38 or excluding the impact of the charges related to Japan Custom Case earnings were $2.69, which is a 27% improvement for the year.
 What’s particularly gratifying about our growth is that it allows us to have even greater impact on the lives of Nu Skin distributors and consumers throughout the world. During 2011, we reached a record level of distributors, and record level of sales leaders, and record level of customers who participate in our automatic subscription programs.
 Our active distributor account jumped 7% and our executive account increased 17%. We paid out a record $750 million in commissions to our sales leaders, and these commissions are certainly making a big difference in lives of our distributors and their families.
 Having just come off the road from participating in several kick-off events in the month of January, I’ve been reminded that it is truly a remarkable group of people who comprised the Nu Skin Family is not only the cream of the crop in the direct selling world, but they’re also the cream of the crop of humanity and its truly an honor for me to be able to work with them.
 We have every anticipation looking forward that 2012 will be another record year. We have emanation to continue to grow the business and we’re making better use of our growth initiatives through increasingly effective product launches. You’ll recall that the limited time offer of our 2 new ageLOC products in the fourth quarter generated about a $100 million of revenue in just a few short days.
 AgeLOC R-squared was the first of these new products, you’ll recall that R-squared recharges and renews the body by promoting increased energy levels during the day without the use of stimulants, and then it promotes restoration and purification of the body’s cells at night.
 The second product we introduced in the fall was the ageLOC galvanic body spa and related gel. These products work to target the appearance of cellulite and promote firmer and tighter appearing skin and in just a few treatment its really remarkable result that we’re seeing from the use of this product.
 Our exclusive anti-aging science and ageLOC products continue to appeal to a growing consumer base. I’m really delighted to announce that the ageLOC brand is now a billion dollar brand, since we introduced ageLOC in 2008, we’ve now generated over $1 billion of sales of ageLOC’s revolutionary anti-aging products and I truly believe that we remain at the forefront of aging research and continue to believe that we can leverage this position very attractively going forward.
 As many of the analysts who follow us have noted, we were in a very strong product cycle which we agree with, and our continue refinement of our product launch process is generating increasingly impressive results.
 As I have also indicated previously, I really believe that the best of ageLOC is yet to come, I’m confident that the next 2 product launches to be introduced in 2013 will surpass anything that we’ve seen so far.
 Now to make sure that we remain out-front in the race to address aging, we announced the acquisition of our development partner LifeGen Technologies in the fourth quarter. This acquisition brings more than 30 years anti-aging research to our team and also gives us exclusive unrestricted access to LifeGen’s proprietary database. So, the acquisition will be very positive for our product development team, and is also accretive and a good use of our cash.
 Let me take just a minute to review the details of our product launch schedule for 2012. In January we launched R-Squared in Japan and Korea, and we also introduced in January the body galvanic spa in the U.S., Europe and in parts of the South Asia Pacific region. And then, going forward in the second quarter will introduce R-Squared into the Greater China region followed by the R-Squared launch in the South Asia Pacific region in Q2 and in Q3, depending on which country one happens to live in, in that region.
 These staggered launches help us to manage our inventory levels and also enable us to marshal our marketing efforts and focus resources in a fashion that maximizes the impact of these product launches as we roll the products out globally. And I’ll say that these launches throughout the course of the year will enable us to continue to post solid growth throughout 2012.
 Now, let’s take a closer look at some of our geographies specifically. No surprise that the markets that continue to enjoy the best traction are Greater China, South Korea and South Asia Pacific region. There has not been a time in my experience with the company when we enjoyed such strong momentum in so many different markets.
 In Mainland China, we performed very well and we remain excited about our opportunities there. We generated a 47% increase in executive leaders in the Greater China region during the fourth quarter and China continues to have enormous upside. This optimism is reflected in our $50 million investment in a state of the art corporate facility just outside of Shanghai, but this $50 million investment as we’ve indicated is also offset by tax credits offered by the Shanghai government.
 We broke ground on the China innovation center in December and we see no signs of slowing in Mainland China and fully expect that the market will become our single largest market in the not too distant future.
 In South Asia Pacific, we’re generating growth really throughout the region. We became the #1 drug-selling company in Singapore in 2011, which again are our success in Chinese communities outside of Mainland China just strengthens our enthusiasm for the Mainland itself. We do get some questions on the impact of flooding in Thailand and so we will note that Thailand has definitely been impacted by the floods, the market was down slightly in the fourth quarter as a result of the flooding there. And unfortunately, we suspect that disruption will continue in the short term that this is a very vibrant market that has been growing at a very robust pace, so we anticipate that the market will rebound quickly.
 The past several years have been so strong that South Asia Pacific has to pass the America’s region in terms of overall sales. So, we’re very pleased with what’s going on there and continue to believe we have a lot of upside in that region.
 Japan finished the year about where we expected it to, following the natural disasters that occurred last March. One thing to note is that Japanese distributors purchased about $3 million of products at our October convention in the U.S., which normally would have been orders place in Japan and would have obviously helped the quarter look a little bit better on a stand-alone basis. But, as we’ve indicated the turnaround there as a result of the natural disasters has been delayed, but to reiterate our guidance for 2012, we expect Japan to be down about 3% for the full year.
 In Europe, we saw a single digit decline in Q4 which is really primarily reflective of the fact that the market hasn’t had a meaningful product introduction for about 6 quarters, which is primarily the result of the fact that it takes us a longer period of time there to register nutrition products throughout the EU. But, the decline is also largely result of softness in a few markets, while other markets, such as France and Germany and Scandinavia, kind of our core European markets, continue to post solid results.
 Now, we also launched the ageLOC body galvanic spa in January throughout the European market, and we’re very pleased with the response of the product launch. Well, it’s impossible to predict the extent to which a potentially worsening economic environment in Europe may impact results, we’re off to a very good start in 2012, and we’re budgeting for growth in the European region this year. And finally, the U.S. business had a solid quarter obviously benefiting significantly from the convention in October and like Europe, US distributors responded very well to the launch of the body galvanic spa in January. So, we have reason to have good expectations for this market in 2012.
 So overall, we’re very pleased with the way our business is developing and we’re also pleased with how our geographic sales mix has shifted over the past several years, we’re far less dependent today on any one region, and less subject to any one currency than we’ve ever been in our past.
 Now, we also remain focused on continually improving profitability. During the quarter we made additional improvements in our operating margin, we’ve now been above 15% for the past several quarters, excluding the Japan custom charge in the first quarter of last year, as we’re able to better leverage increased revenue and push incremental dollars to the bottom line. Our team is very focused on our $4 EPS goal, and this is helping us continue to focus on continual improvement in our operating margin.
 And finally, I’m sure that our shareholders appreciate the step-up in our commitment to dividends with today’s 25% increase in our quarterly dividend, which by the way comes on the hills of a 20% increase in the dividend just 6 months ago. Our business model is cash-flow friendly, and our Board of Directors has demonstrated our desire to return cash to shareholders within an 11-year track record now continue increases to our dividend payout.
 With an increasing level of cash flow, a dividend increase was warranted and obviously speaks to the confidence we’ve in the future, and our commitment to generating shareholder value.
 So overall, we’re very pleased with our quarterly and annual results and with that I’ll turn the time over to Ritch. 
Ritch Wood: We’re proud to report another strong year and quarter of improvement in all our financial metrics, including our revenue, our profit and our operating margin. And, I’m also very encouraged with the way 2012 has kicked-off and have great enthusiasm for a strong response to the rollout of our new products and this has really what prompted us to increase our annual guidance shortly on the heels of giving the guidance just 2 short months ago.
 We continue to perform ahead also of our longer term plan that Truman referred to this $4 per share plan that we talked about hitting by 2015. Now the latest model as of achieving this goal in the first quarter of 2015, and our management team remains very aligned around this creating long-term sustainable earnings growth.
 We also began this year with a very strong balance sheet. Our operating margin for the fourth quarter improved at 15.3% representing a 60 basis improvement over the prior-year period, and for 2011 operating margin pushed up to 15.3% when excluding the Japan customs charge which exceeded our guidance that we provided during the year and also finished with a 120 basis points higher than the prior year.
 The improvements came primarily from efficiencies within both the cost of sales line, as well as our general and administrative expense line on the income statement. These improvements were somewhat offset by an increase in our distributor incentive.
 We made steady improvements in the company’s operating margin since our transformation and restructuring efforts dating back to 2006, when operating margin was less than 8%. And we expect to continue to expand operating margin estimating another 30 to 50 basis points in 2012.
 Our gross margin for the quarter was 83.8%. We’ve executed on several initiatives in our supply chain which continue to streamline our logistics processes. Our inventory turns have reached new high, we expect to hold our gross margin in the mid 83% level going forward.
 Selling expenses for the quarter were 43.3% compared to 42.1% for the fourth quarter of 2010. 
 We’ve key distributor incentives in place and driving higher levels of sales growth in many of our emerging markets and we anticipate our selling expenses to remain slightly above historical levels in the 43% to 43.5% range during 2012.
 General and administrative expenses for the quarter as a percent of revenue were 25.2% of the solid 30 basis point improvement over 2010, and particularly in consideration that we paid out an approximately $7 million during the quarter, related to our global convention. On an annual basis our G&A came in at 25.0%. That's a 110 basis point improvement over 2010, and we would anticipate another 20 to 40 basis point improvement in G&A in 2012 compared to 2011.
 Our tax rate for the quarter was 34.9% compared to 34.3% in the prior year. And we expect our tax rate to be in approximately the 35.5% to 36% range during 2012.
 Cash from operations grew to $224 million in 2012 and our cash and short term investments balance was $291 million at the end of the year. Our debt is now approximately $137 million, approximately 1/2 of that debt denominated in Yen. And in addition, we are proud to report improvement in essentially every key financial ratio during 2011, including inventory turns, return on assets, return on invested capital and cash flow returns.
 During the quarter we paid $10 million in dividend, we repurchased 16.1 million of our outstanding shares, both of which we consider to be good uses of our cash in improving shareholder value. And given our expectation for continued strong cash flow, we increased our dividend to 25% this morning.
 Our stock repurchase authorization stood at $86 million at the end of 2011. As stated in our release this morning we raised our 2012 annual guidance from the guidance which we recently provided at the Investor Day in November. We took our revenue up $10 million to $1.81 billion to $1.84 billion and our earnings per share another $0.02 to $2.84 and $2.94 per share.
 We continued to model a negative 1% impact from currency fluctuations in our guidance which was consistent with what we had provided in November. For the first quarter of 2012, we estimate our year-over-year revenue to increase approximately 12% to 13% and that’s $437 million to $447 million putting earnings per share in the $0.68 to $0.71 range. The quarterly assumes a neutral impact from foreign currency and a carryover of pre-sales from Q4 from our convention product re-sales of about $16 million to $17 million.
 With that we’ll go ahead and open the call up now for questions. 
Operator: [Operator Instructions] And your first question will come from the line of Olivia Tong with Bank of America Merrill Lynch. 
Olivia Tong: Clearly you had a strong Q4 and the outlook Q1 is better than I think most have expected, but your fiscal year outlook implies just about 3% to 4% sales in EPS growth for the rest of the year Q2 to Q4 portion of the year and I recognize that you’ve a very difficult comp coming in Q4 and you want to maintain a conservative stand, but can you give some granularity on what could drive such a significant deceleration in the back half of the year? 
Ritch Wood: Sure. We continue to, all we follow the same methodology with guidance that we’ve done, last several years, we’re very consistent in how we play our forecasting going forward. The areas of conservatism remain in our product launch as well as the growth in key markets like China, which can be a little bit more erratic going forward. So, we tried to be real conservative in those growth ranges. We’re little bit unsure as to the impact of the big product launch we had in Q4 of last year whether we pulled the little bit of our sales from this year back into last year approximately up to $50 million. So, we’ll watch as we go forward, but at this point in time, we continue to feel more and more bullish particularly in these first few quarters, as the product launches get more and more enthusiasm surrounding the -- by the time we release our earnings for the first quarter, we’ll have pre-orders already from many of our distributor leaders for the Greater China and Southeast Asia regions. We’ll be able to give even more clarity the next quarter, but again, our methodology is to remain conservative as we provide this guidance, and yet overall, we expect the year to be up about 7% in local currency. That’s our current guidance that we provided, assuming that we pulled about $50 million from this year back into last year. It's really on a apples-to-apples kind of a 10% local currency growth number for the year. And so, we expect that conservative as we always do, we give our guidance and we sleep well and expect our shareholders to feel that same way. 
Olivia Tong: That’s very helpful. Perhaps if we could talk a little bit about the dividend clearly a sizeable dip in increase after arriving at just 2 quarters ago. So do you think now that you’re at the right payout ratio or would you expect that to grow to a larger payer over time? 
Ritch Wood: Well, our board has been very supportive of this and, frankly ,we’ve got behind a little bit where we wanted to be that’s why we’ve had 2 pretty consistent increases, but even on a go-forward basis would expect our cash flow each year to increase between 15 plus percent. So, I would anticipate that we’re closer to where we need to be today, but we would expect to have very solid increases on a go-forward basis assuming the business continues to perform well. 
Operator: And your next question will come from the line of Bill Schmitz with Deutsche Bank. 
William Schmitz: Can you talk about that I guess it was like the $16 million, $13 million of U.S. sales that were outside the region and how should we allocate that if you wanted to kind of pro-forma some of the other regions? 
Ritch Wood: Yes, the biggest purchases, Bill, came from Japan which was about a $3.5 million, we had Mainland China which purchased about $3 million. And then Europe was about $1.5 million, then it kind of just spread from there to the other markets that attended. But, the bigger ones were Japan, China and Europe. 
William Schmitz: Okay that’s really helpful. Did you have any sense for what the distributor inventory levels are after the convention, sort of, kind of the pace of their sale through, I’m sure they kind of loaded up at the convention and they’re still kind of depleting that now? 
Ritch Wood: Yeah, and a lot of that product from the convention sales actually delivered in November, December and a little bit here in January. So, it’s probably a little bit early to have a full read on that. However, I would mention that our returns rate for the fourth quarter remained very, very low at about 3.2%, which is really historically -- generally were in the 3% to 5% range. And so it just remains very, very low. So, we expect there to be good demand going forward and the product seems to be moving through well. 
William Schmitz: Got it. Is there a rule of thumb for how long a distributor holds inventory before they kind of pass it on to their end customer? 
Truman Hunt: Not really, I mean, it just really varies from distributor to distributor, Bill. But our return policy is quite liberal for the first year, so they could return the product anytime up to a year. But remember to that in Greater China and Southeast Asia, the products won’t really rollout on a full-time basis until late Q2 and into Q3. So, they really have the first 6 months of the year to work through their existing inventory. 
William Schmitz: Okay. And did I miss what percentage of sales around subscription this quarter, did I just gloss over that by ...? 
Ritch Wood: No, we actually didn’t provide it Bill. But, it’s a dropdown when we had this $100 million of new product sales, because none of that was on subscription order. But, in the other 2 months the subscription orders remain right around 56%. 
William Schmitz: Okay, it was that. And what was it in aggregate for the quarter then it was 56 for the 2 quarters? 
Ritch Wood: I think it dropped down to like 51% or something like that because of this big sale that we had. But, consistently it’s remaining right in the 56% range. 
William Schmitz: So that’s probably a good number for next year then? 
Ritch Wood: Yes. 
William Schmitz: Okay. And then, how does LifeGen impact the P&L going forward? 
Ritch Wood: Well basically, we’ll be amortizing about a million dollars a year associated with the purchase, but we save about 1% royalty charge that we have on any ageLOC nutrition supplement that LifeGen has been involved in purchasing. So, as long as we’re selling around a $100 million a year, the net impact is essentially flat and likely will gain some accretion from that transaction because our sales should be up above $100 million a year. 
William Schmitz: Got it and that is, I imagine that royalties and cost to goods sold and amortization in G&A, is that right? 
Ritch Wood: Yes, that is right. So, there is a little geography shift in the income statement there. 
William Schmitz: Okay. So, could they become some conservatives, I mean the gross margin target of being kind of roughly in that 83ish range for the year? 
Ritch Wood: Yeah, it could be, we’re trying because I kind of built it into the model at around 83.5, so there may be a little conservative and there are 2 reasons that I have kind of been conservative. One is the exchange rates, again, I do have a headwind for exchange rates coming into the P&L for the year, which if we look at where exchange rates are today that’s probably fairly conservative, it’s really the dollars kind of weakened up over the last week or two. 
William Schmitz: Okay, got you. And then, is there anything magic about the 25% G&A ratio, I know it’s come down considerably, but was that, I know, you said 20 or 30 basis points, but is there like a long term ratio that’s appropriate or will just really be contingent on what the sales growth does? 
Ritch Wood: I think its contingent primarily on the sales growth. 
Operator: And your next question will come from the line of Rommel Dionisio with Wedbush Securities. 
Rommel Dionisio: I remember that you only have a few weeks of data from the product rollouts globally, but is there anything you can glean from the impact on sales of transformation from a launch of the body galvanic, in other words is there, I guess, cannibalization is not the right word because one is for the body and one is for the face. But, could you just maybe touch on how the transformation sales trends are doing in the markets where you launched body galvanic? 
Ritch Wood: Yeah, it is true Rommel that when we shine the light on any particular product, we’re likely going to see a little bit of a drop in products that are not necessarily in the spotlight. But, transformation really works very hand-in-hand with use of the galvanic spa and so we would expect transformation remain steady and it has remained steady despite the fact that we’ve really shined the light on the body galvanic spa, the facial spa and obviously R-Squared and vitality here in the U.S. over the course of last year. 
Rommel Dionisio: Okay, good. And just one follow up, I think in the last conference call you cited that there was some in the pre-order phase you didn’t quite have enough inventory of body galvanic to meet the very strong demand. Could you just touch on the level of inventory that you have of body galvanic in place now? 
Ritch Wood: Yes, the launch of the body galvanic now moves into the U.S. and Europe, those are the 2 primary regions that are selling that product and we’ve been able to scale up to meet demand and even higher demand in those market. The greater China region is considering selling the body galvanic in their pre-sale, their second kind of follow on pre-sale event in the second quarter, so we’re likewise scaling up to meet product orders at that time, but we should be, now we've gotten ahead of that curve and we should be able to meet the demand without any problem at this point. 
Operator: And your next question will come from the line of John Faucher with JPMorgan. 
John Faucher: Ritch, I don’t want to sort of denigrate the dividend increase, which is pretty massive one, as we look at this and sort of look at the incremental capital that’s going to lay out, you still got a lot more cash than debt, that doesn’t seem to change. You said you’re going to grow your pre-cash 15% every year. So, as we look out a little bit longer here, even if you adjust the payout ratio a little bit, you're still going to be generating more cash, and your capital structure still going to be leaning pretty heavily cashed, so can you give us may be some thoughts longer term about what you could do to rectify that situation, is it special dividends, is it acquisition, is it share purchase, how should we think about those options longer term? 
Ritch Wood: Truman can answer the question as to longer term, but let me just mention kind of our philosophy internally. We basically look at our free cash flow and we back out from that CapEx debt payment and then we try and split a third towards dividend and 2/3 towards other uses. And so, with kind of a few years of higher CapEx and next year too based on the innovation center that we’re putting in as well as the new China facility, our dividend is going up, but certainly not to where it can go and will go I think as we go forward. So, I would anticipate a year to two out as our CapEx goes down we see our dividend increase faster than what our cash flow is to kind of get back in line with where we ought to be and then Truman can speak further to the future. 
Truman Hunt: So, if we allocate 1/3 to dividends and a third to share repurchases that leaves us with 1/3 to invest in business growth initiatives and we still have John, a number of markets around the world that we really have yet to penetrate and those markets will required some investment in infrastructure. India for example, a large and rapidly growing drugs selling environment that is still on our horizon and so we have a lot of ways to invest in business growth and frankly with sure much rather have this problem of having cash on the books and not having enough so it's a good problem to have. 
Ritch Wood: I’ll just make one more comment if I can, John, related to the balance of our cash rate now which we've allowed to grow a lot higher generally than it needs to be and the reason primarily for that as we plan to pay for these 2 buildings that we’re putting in with cash and not borrow against them. So, at this point in time our cash balance has gone up for that specific reason, but normally it doesn’t need to run this high. 
John Faucher: Got it. And then, one sort of housekeeping piece, and I apologize if I’ve missed this, but there is a little bit of shift in the balance sheet? And I don’t know if you had talked about this between sort of prepaid expenses as well as accrued expenses. At least that showed up in my balance sheet, can you just sort of give me a little bit a headline in terms of what happened there? 
Ritch Wood: Yes, it was primarily a shift in deferred taxes, some payments that we made in foreign markets that will then be credited back here in the U.S. as time goes forward. 
John Faucher: Okay. So, you sort of overpaid taxes in the quarter relative to on a cash basis or just on an accounting basis? 
Ritch Wood: No, on a cash basis, it didn't impact our rate, but we had the payout taxes in Japan that will then be credited back in the U.S. as we go forward. 
Operator: [Operator Instructions] Your next question will come from the line of Scott Van Winkle with Canaccord Genuity. 
Scott Van Winkle: First question is the revenue that's coming in Q1 that was kind of pulled from the Q4 preorder activity, is that mostly happening in Southeast Asia? 
Truman Hunt: It's all in Southeast Asia with about $3 million I think in Greater China. 
Scott Van Winkle: Okay. And then, Ritch, you had a 17% growth rate in executive level distributor number which is a real good number relative to trend you had and even if I add back the $50 million from, you think, you pulled into Q4 from 2012, and you’re up 10%. I mean, where to see an executive level number growing at a faster rate than local currency revenue growth for any extended period of time. How do I reconcile that? 
Ritch Wood: That also great observation I think, Scott, the one that we’re watching very carefully, I work closely with Dan Chard and the sales group on this. But, there is still a bit of a discrepancy between our executive and active number and we would anticipate that somewhat based on the new way that we’re launching products, where people are building their organization in anticipation of these product launches to qualify for the product launch and participate in it. And so, we see that executive number come up, the active number should follow and those two should close the gap between the 2 should close. So that’s part of the reason I’ve been little bit conservative anticipating that the active number needs to continue to follow up in order to support the local currency sales growth that we see coming along. 
Scott Van Winkle: Okay, and then last question on the gross margin side you gave a mid 83% number, a little below the Q4 figure, is there any reason why wouldn’t be at that level I would think that you have a very high mix of new products, which I assume have been sat with very robust gross margins? 
Ritch Wood: Yeah, I think that is the possibility. As you look at our year 2011, we were track and right in the 83.2% to 83.5% range through Q2 and Q3. I think the 83.8% push in the fourth quarter came somewhat because of this substantial product launch of very high margin products with less shipping expense things like that, so that’s why I’ve been a little conservative. It doesn’t mean that it’s going to come down but I’ve kind of built in a little bit lower gross margin throughout 2012. I think there may be a touch a room hopefully there as well. 
Operator: And your next question will come from the line of Anand Vankawala of Avondale Partners. 
Anand Vankawala: Just wondering if you can give us a little bit of granularity on trends in Europe and as well as detail on some of your efforts in Eastern Europe? 
Truman Hunt: Yeah, I mean Europe is obviously a very big region that includes 17 or 18 countries, as we report the European region we include in that mix our business in Israel and our business in South Africa, which are obliviously detached geographically. But, interestingly enough those are the markets that showed the most weakness in Q4. Israel was soft, South Africa was a bit soft, Hungary was a bit soft which has been a very good market for Eastern Europe, elsewhere in Europe, Central Europe, France in particular has become our largest and fastest growing market in the region, which is really encouraging because it’s a large market. Our business in Scandinavia remained strong and elsewhere in central Europe, Japan, and Germany remained strong. So, it’s the situation with Europe again as we explained is largely due to the fact they haven’t had a real meaning for product initiative for 6 quarters. We remedied that in the first quarter with launch of body galvanic spa, and while we continue to try to monitor on an ongoing basis, it's just the impact of economic turmoil there and it's not reasonable for us to think we can escape that impact entirely. But, we’re very encouraged with what we saw on the product launch in the month of January. 
Operator: And your next question comes from the line of Tim Ramey with D.A. Davidson. 
Timothy Ramey: Ritch, at last count I think you said a little conservative may be 6 or 7 times on 6 or 7 different line items, but give you an opportunity to do it one more time the tax rate guidance you gave is above the last 2 years, and I know there is a large discrete item in the 3Q. But why shouldn’t we be thinking of the tax rate trending a little lower here with greater investment outside the U.S.? 
Ritch Wood: That’s a great point as well Tim, that the last 2 years we had two particular items that brought the tax rate down one was the IRS settlement in 2011, which was about $7 million and then we had FIN 48 reserves that were released both in 2010 and 2011. I don’t remember the exact amounts but that impact the rate, we basically don’t have any additional FIN 48 reserves that we anticipate rolling off this year, so our tax rate will be adjusted only by the permanent reinvestment of dollars outside the U.S.
 We put in a structure that we’ve now got agreement actually with the Singapore government as we start to build some regional functions in that area to support our Southeast Asia and other Asian operations and through doing that we should be able to bring our tax rate down on a go-forward basis. I’m not sure how much we will kick in during 2012 and that’s the reason why we got the rate around 35.5 or so. If we are successful getting more structure and so forth going on in that objective that we have, then the rate should be able to come a little bit lower than that. But, I would anticipate at least in 2013 we should see a percent at least 1% to 2% coming down in our tax rate from the use of that structure. 
Timothy Ramey: Sounds good, but you don’t want to say you are conservative for ’12 yet? 
Ritch Wood: I was careful in my wording on that. 
Timothy Ramey: And then, on the body spa product as I recall I think your capacity constrained there is there a part of increasing the production rate of that given the strong initial reaction? 
Truman Hunt: Yes that’s exactly what we’ve been doing over the course of last 4 months, so you know in connection with these January launches, I was out in the South Asia Pacific region for example in connection with the launches in January and they were complaining about not having access to enough inventory, but as time goes by we will not have an inventory constraint with the product. 
Ritch Wood: As more of a lead time issue then it was in actual infrastructure issue, just getting the parts in and so forth, it takes a little bit of lead time with the product. 
Timothy Ramey: Okay and just to circle back on maybe on Olivia’s question, given the strong first half performance you really almost have to model fourth quarter revenues as flat to get close to your revenue guidance, is that the level of conservatives that you think is appropriate at this point? 
Ritch Wood: Yes, assuming we brought in about $60 million in that from the product launch and assuming we don’t have substantial product launches in the fourth quarter, which by the way may not necessarily be the case because we do have for example the body galvanic spa, which may go into Japan and Korea in the fourth quarter. That’s still being evaluated right now whether it’s in the fourth quarter of this year or the first quarter of next year. I have not built that into my fourth quarter number and likely the headwind from currency is primarily related to the fourth quarter of this year at the back half of this year as well so those 2 items are the ones that will see as we go forward and continue to have more visibility as we go forward as well. I just mentioned one other thing, I had built into my modeling about $30 million to $35 million of launch volume associated with Greater China and Southeast Asia in Q2 and Q3. Our management teams are certainly building a lot more inventory and a lot more expectation for those launches, but we haven’t really done this pre-launch event like we did it in the fourth quarter so for that reason I’m not sure. I’ve been careful in how I modeled that out because it’s a new thing for us. But, it’s highly likely that those product launches can significantly more than what we put into our modeling, but prefer to be conservative. 
Operator: And your next question will come from the line of Cory Armand with Rice Voelker. 
Cory Armand: Yes. I had couple of questions about the conventional related sales can you discuss the impact on the quarter of R-Squared and body spa sales on a per country basis, just generally like, for example, Hong Kong should have big increase sequentially. Can you talk about that? 
Ritch Wood: Yeah that’s exactly what it is and we tried to state our numbers even more or little bit regionally based on a go-forward basis, a lot of these products will be launched regionally and so it really does impact the country by country number. But primarily, as Truman has mentioned in the past, the big launch volume follow the markets that are growing the fastest, so the bulk of the product launch came from Southeast Asia, from greater China and from South Korea those were the 3 strongest markets and took the lion share of the essentially $80 million of R-Squared and body galvanic sales that were booked in the fourth quarter. 
Cory Armand: So the Southeast Asia sales were booked into Hong Kong is that the way it works? 
Truman Hunt: No, they were actually booked into Singapore, the Greater China sales were booked in Hong Kong and by the way that Southeast Asia sales were high, but only $15 million of those approximately is pushing into the first quarter so wasn’t as reflected in the fourth quarter is what we’ll see here in the first quarter. 
Cory Armand: Okay. Can you provide any detail on where the revenue was booked in Q4 for the launch of sales of R-Squared to body spa? 
Ritch Wood: I mean it’s primarily Hong Kong, Singapore, and the U.S. 
Cory Armand: No, no, I’m sorry, where it was booked, I’m sorry. I meant in segment Pharmanex versus Nu Skin, sorry about that? 
Ritch Wood: Okay, the R-Squared product goes into Pharmanex and the body galvanic goes into the Nu Skin sales. 
Operator: And your next question will come from the line of Mark Astrachan with Stifel, Nicolaus. 
Mark Astrachan: Can you give us the bit of the break down on the ageLOC sales by product in the fourth quarter? 
Truman Hunt: Yes let me just pull that up real quick. The R-Squared product jumps right to the top of the chart and did somewhere around $70 million of sales. The body galvanic held in the $55 million range by the way LifePak holding very, very solid as well showing 5% growth year-over-year. We’re very encouraged by that. The transformations that holding very consistently around $40 million, and then the new body galvanic spa selling about $15 million. 
Mark Astrachan: Okay were there vitality sales in the quarter? 
Truman Hunt: Yes, vitality, sorry, was around $16 million. 
Mark Astrachan: That’s great and then I think you sort of answered this question with a prior question. From the Chinese standpoint, the growth sort of bounced around there a little bit to this quarter a bit weaker, some of that because you’re reporting some of the revenue intended for Mainland China and Hong Kong for example? 
Truman Hunt: Yes that’s exactly right. I think the best thing to do there is look at the executive growth in Mainland China held I think in the 75% range. So very, very strong numbers. The actual revenue booked in China I think showed 49% growth, which was a deceleration from Q3, but that’s all because sales were booked in Hong Kong and not in Mainland China. 
Mark Astrachan: Great, I know its relief but any sort of sense about cannibalization or refill orders on R-Squared or galvanic body in terms of how to think about that going forward? 
Truman Hunt: Yes it’s just really too early. We just barely, this is the first month that we actually put it into a couple of our markets. So it's just really a lit bit too early to be able to have too much inside on that yet. 
Mark Astrachan: Well, I guess may be putting it a different way, we can obviously do the math on what transformation added a couple of years ago on a go-forward basis. Is there any sort of rule of thumb that you guys used to say, okay $70 million sales in pre-launch quarter that translates into 70% of that in the first quarter was mostly widely available and some other percentage next quarter so forth and so on? 
Ritch Wood: We are slowly getting better, I think, at our analytics as we go forward. We got a team that’s built out that really manages that but numbers from the pre-launch were so different so much larger than what they have been each ongoing product launch has been so much bigger that it’s still little bit difficult to be able to project out the follow on sales after that. 
Mark Astrachan: And then, just lastly, from the U.S. standpoint sort of back out of what happened in the convention, can you talk about the sales in the quarter in terms of thoughts on a go-forward basis to try to help things along in the U.S. a bit? 
Ritch Wood: Yeah, the U.S. had a decent quarter even backing out convention impact and as we mentioned Mark earlier in the call, we are really pleased with the way the year started here, lots of enthusiasm for body galvanic spa. The market will enjoy another product launch coming in the fall, which should help keep things going and from just the subjective perspective, the energy is good and I personally, I’m really delighted to have our general manager here Scott Schwerdt realigned and focused entirely on the America as well as previously he had been covering other regions as well as, so all of those things had some focus and some energy in the market. 
Operator: And your next question will come from the line of John Faucher with JPMorgan. 
John Faucher: One more question here which is when you spoke to Bill’s question about Japan and the impact, if you normalize Japan it looks as though that the numbers in the quarter were basically down 5% on a local currency basis to adjust for the convention volume and so A is that right? And then, B is we cycle into the easier comparisons, it seems like there should be maybe a little bit better than 3% out there for next year. So, can you talk about was there something in the quarter that sort of increased revenues in the fourth quarter where the underlying business may become a little bit better than you anticipated or can you just walk us through how we should think about Japan from that standpoint. 
Ritch Wood: You bet. The executive base was down 6.5% and the active base was down 8% in the fourth quarter. We did get a little bit of an increase in sales from the launch of our R-Squared product that presale of the R-Squared product in the fourth quarter which helped a little bit and it was nice to see the business improve kind of a 10% to 11% down in the first 2 quarters following the tsunami, to kind of go to an 8% level. So, we did expect it to pick up a little bit with the launch of the product, even knowing that some of that volume was going to be purchased in the U.S., and now as we go forward I'd expect Q1 to be, we’re still kind of comparing up against the pre-tsunami numbers here in the first quarter. And so, and anticipate has been down kind of in the 5% range and then I would expect it to improve as we go throughout the year and by the fourth quarter just being slightly down hopefully the way we'd model the year. 
Operator: And gentlemen, your next question comes from the line of Anand Vankawala with Avondale Partners. 
Anand Vankawala: Just a quick follow up to Mark's question regarding the junior products and subscription rates, I mean I know it clearly, but can you at least give us a little bit of idea about the typical subscription rate between the Pharmanex and the Nu Skin business? 
Truman Hunt: Yeah, it's certainly better on the Pharmanex side although we continued to build products from the Nu Skin division that are I'd say subscription friendly 30 day supply friendly, but I believe what probably 20 basis points higher then actually 20% higher in the Pharmanex side as compared to the Nu Skin side as it relates to subscription orders.
 With that operator let me just conclude the call with one thought and that is that despite make sure conservatives financial modeling here for 2012 we're indeed in a very strong product cycle, we’re generally steady growth on our distributor ranks, we continue to post very strong results from emerging markets, we’ve demonstrated our commitment to improving profitability levels and using our cash in a shareholder friendly fashion and this business is a momentum business and momentum is working very much in our favor right now. So, we're very pleased with our results for 2011 and very optimistic for 2012, and for even the more distant future, and look forward to talking with you on a one-on-one basis if you have any further questions. Thanks very much. 
Operator: Thank you, sir. Ladies and gentlemen we thank you for your participation in today's conference. This does conclude the presentation and you may now disconnect, have a wonderful day.